Operator: Welcome to the News Corp's Third Quarter Fiscal 2025 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I'd like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp's Fiscal Third Quarter 2025 Earnings Call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Lavanya Chandrashekar, Chief Financial Officer. We'll open with some prepared remarks, and we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautious statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings release for the applicable periods posted on our website. With that, I'll pass over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike.  The sustained strength of News Corp's third quarter results reflects the company's strategic transformation. We have pursued digital growth, realigned our assets, focused relentlessly on cost discipline and asserted the essential value of our intellectual property in a changing, challenging content world. These potent results come despite political turbulence that has clearly affected some of our business partners and undermine their ability to plan coherently. We firmly believe that this disruption is ephemeral and that the U.S. has the potential for robust growth when the heavens return to equilibrium. The administration's pursuit of sensible deregulation and a sound energy policy, combined with America's economic prowess and innate creativity should surely produce favorable results. When Adam Smith spoke sagely of the power of the invisible hand, he did not envisage an economic slap in the face from the unruly introduction of exorbitant tariffs. America's animal spirits do need emancipation from the cage of uncertainty. As for our company, net income from continuing operations rose 67% to $107 million in the third quarter compared to the prior year. While revenues were $2 billion, ahead of the prior period by 1% despite blustery currency headwinds. Total segment EBITDA increased 12%, with the overall margin expanding from 13% to 14.4%. Third quarter adjusted revenues were actually ahead by 2%, while adjusted total segment EBITDA expanded 15%. Our reported EPS from continuing operations doubled to $0.14, while our adjusted EPS was $0.17 compared to $0.13 a year ago. Following the close of the quarter, we concluded the sale of Foxtel to DAZN, highlighting our intention to concentrate investment on 3 core pillars of growth: Dow Jones, Digital Real Estate and Book Publishing. The transaction saw the transfer of USD 724 million of Foxtel debt off our balance sheet and the direct repayment of AUD 592 million in shareholder loans to News Corp. We also received an equity interest of approximately 6% in the fast-growing DAZN, which is a world leader in sports streaming. While music has Spotify, DAZN could well become Sportify. We are immensely proud of the Foxtel team and their transformation of the company in recent years and are also proud to be a global partner of DAZN, which has much technological expertise and global reach. The transaction is expected to be earnings accretive and improve our return on invested capital. As we noted last quarter, Moody's and S&P have both upgraded the company to investment grade. And there is no doubt that the return of significant cash from the deal, combined with the strength of our free cash flow and expected lower capital intensity has increased our optionality. As demonstrated with the sale of Foxtel, we are continuously exploring structural options to maximize returns for our shareholders. The sempiternal importance of quality journalism cannot be underestimated in the midst of the current political maelstrom. It is imperative that journalists focus on facts, a task complicated by fact checking. At a time when even science from climate to medicine has become politicized and polarizing, undermining the long-term credibility of once trusted experts and institutions. The currency of credibility will become even more crucial as AI continues its exponential growth and inevitably blurs the lines between the actual and the anthropomorphic. We are pleased with our principal partnership with OpenAI and trust that other AI operators strip mining our intellectual property, fully appreciate their responsibilities to our company, to creativity and to the community. Having recently visited China, it is obvious that America's comparative advantage is not in chips or compute power or data storage, but in creativity, in lateral thinking. And it would be shameful if big digital players undermine that source of strength by eviscerating IP rights. Patently -- blatantly, we believe some AI companies are stealing content, so much so that they have no doubt ripped off even the President of the United States, Donald Trump, by ingesting books, including the art of the deal and repurposing them for profit without his permission. And we expect the AI anarchists will surely have done the same with Truth Social, purloining content and data to fuel their economic engines. Returning to our results. Dow Jones was a highlight. We foresaw an improvement in the quarter, and that expectation was definitely realized. Dow Jones posted a healthy 6% revenue growth, while profitability surged 12% and the margin rose from 21.7% to 23%. There is still much toil ahead, as Almar and the trustee team realized, but we saw digital circulation revenue expand 14%, the fastest growth rate in almost 3 years, and recorded improvement in digital ARPU year-over-year and quarter-over-quarter, while total consumer subscriptions surpassed the 6 million milestone. Since our resegmentation in 2020, not only has Dow Jones profitability more than doubled, but total subscriptions have risen over 60% with more than 90% now fully digital. The rather active news cycle has unsurprisingly contributed to further increases in audience traffic and subscriptions in recent days. The professional information business at Dow Jones continued to thrive, posting an improved 6% revenue growth, driven by double-digit expansion at both Risk & Compliance and Dow Jones Energy. Risk & Compliance posted 11% revenue growth despite unfavorable currency volatility as risks rose in the global economy and the need for compliance remained an imperative for thoughtful companies in a fast-changing regulatory environment. Significantly, we completed the acquisition of Oxford Analytica and DragonFly Intelligence in the fourth quarter, which should enhance our ability to provide insight and intel to companies across the globe. Meanwhile, Dow Jones Energy posted 10% revenue growth as we invested in product offerings and built on unique pricing products and real-time analysis. One example was carbon and clean fuels analytics, which helps businesses, investors and traders capitalize on opportunities from energy transition at a time of pronounced regulatory upheaval. The Dow Jones team expects that Factiva, which has been an unfortunate drag on professional information revenues, should improve in coming quarters as we cycle past the unfavorable impact of a contentious client dispute. At Digital Real Estate Services, profitability surged 19% on a 5% increase in revenues and notably, margin improved from 26.8% to 30.5%. REA posted 6% revenue growth or 11% on a constant currency basis, thanks to a 15% increase in yield compared to the same period last year. REA maintained a rather healthy audience lead, with nearly 4x as many average monthly visits as domain and nearly 5x the user engagement as measured by independent metrics. At realtor.com, revenues rose 2% as growth initiatives across rental, seller and new homes flourished, accounting for 22% of total revenue. Even though overall market conditions remain difficult because of elevated mortgage rates and economic instability. Damian Eales and the Realtor team thrive on competition and are gaining audience and user loyalty, pulling further ahead of Redfin and Homes.com, thanks to the network effect created by our media platforms. We believe that network advantage will become more pronounced as the character of search continues to change profoundly in coming years. Based on third-party verified source comScore, total visits to the site reached 239 million in March, representing 29% of market share among the top real estate portals, and a 3.7x traffic advantage over Homes.com and 2.7x greater than Redfin. While our 4.5 visits per visitor is the category leader and a compelling sign of engagement and loyalty. And let's be very clear. These are not home brewed metrics. In Book Publishing, in a relatively slow season, with Brian Murray's guidance, revenue expanded by 2% to $514 million and EBITDA rose 3% to $64 million, thanks in large part to the recent acquisition of German book publisher, Gr�fe und Unzer. Additionally, digital revenues grew 3% as audio books continued to prosper, including contributions from our key partnership with Spotify. We saw strength from Gregory Maguire's latest addition to the Wicked universe, Elphie, along with other standouts, such as Tessa Bailey's Dream Girl Drama and Alex Aster's Summer in the City. Our Christian division showed sustained strength, particularly in Bible sales and Bible Gateway, which we are developing as both a portal and a community had 87 million uniques during the quarter. We expect that burgeoning site will add to our network effect as a funnel for realtor.com and our media sites, which, in turn, will drive traffic to Bible Gateway. In the coming quarter, we are excited by the release of the paperback of Shelby Van Pelt's bestseller Remarkably Bright Creatures, along with on democracies and death cults by Douglas Murray, I Wish Someone Had Told Me by Dana Perino; and Uptown Girl by Christie Brinkley. HarperCollins has acquired the North American rights to The Land of Sweet Forever, stories and essays by Harper Lee. The collection set to publish in the first half of fiscal year 2026, will include several unseen short stories from the legendary author of Tequila Mockingbird. The News Media segment posted healthy EBITDA growth of 22%, building on the 30% year-on-year growth reported last quarter as our partnerships with OpenAI and other principal digital platforms continue to benefit our mastheads, while the teams were diligent in their cost discipline. At News U.K., under Rebekah Brooks' leadership, digital subscriptions to the Times and Sunday Times reached 629,000, rising 8% compared to prior year, and digital advertising revenue at the Times continued to expand. Meanwhile, we launched the Sun Club in February, which provides premium journalism and exclusive offers to members. At the New York Post, our reach was as influential as its vast audience, finishing with 85 million uniques for the month of March. It is a rare publication indeed that can pose such a broad and deep readership from the corner office to the Oval office. News Corp Australia's mastheads provide an important platform for informed reporting and debate during the recent election campaign. And we also saw continued growth in digital subscriptions, reaching 1.1 million. Meanwhile, news.com.au was the #1 digital news brand in page views, achieving 292 million per month in March according to Ipsos. And Sky News Australia was the country's #1 YouTube news channel with 5.5 million subscriptions, reflecting its local and global reach. The strength of our results through the first 3 quarters of the current rather colorful fiscal year speaks to the meaningful metamorphosis that began a decade ago. That transformation simply would not have been possible without the leadership of our Chair, Lachlan Murdoch; and Chairman Emeritus, Rupert Murdoch; and a thoughtful and thoroughly engaged Board. Our success is also a tribute to our employees around the world. And the collective achievement is a sturdy platform on which to build even greater returns for shareholders in the years to come. And now I turn to our esteemed erudite Chief Financial Officer; Lavanya Chandrashekar, to provide further insight into our third quarter results.
Lavanya Chandrashekar: Thank you, Robert, and good afternoon. I'd like to start by reinforcing our distinguished Chief Executive's comments on our ongoing transformation. While economic and geopolitical conditions have been uncertain, we continue to be purposeful in our execution and strategic focus. We have transformed our asset mix, increasing exposure to recurring revenues while reducing advertising exposure. Moreover, the majority of our revenue is now digital. Our divestiture of Foxtel has resulted in News Corp being more weighted to our 3 core pillars: Dow Jones, Digital Real Estate Services and Book Publishing. This is expected to drive faster growth with less capital intensity and hence, a higher return on invested capital. Our strong balance sheet and steady cash flow enables us to maximize shareholder value creation. During these turbulent times, as you would expect from News Corp, we are monitoring trends closely. As things stand, the direct impact of tariffs on News Corp is expected to be immaterial. Of note, at present, newsprint is excluded from additional tariffs as are children's and Christian books imported from China. In these volatile times, we will continue to focus on what we can control, and we'll seek to take cost action as necessary. Turning to the quarterly results, which I'm pleased to report, were again strong. As a reminder, Foxtel's financial results are reflected as discontinued operations for the fiscal 2025 and 2024 third quarter and year-to-date periods, and subscription video services is no longer a reportable segment. News Corp reported fiscal third quarter revenues on a continuing operations basis of $2 billion, rising 1% year-over-year, and total segment EBITDA of $290 million, increasing 12% year-over-year. Margins improved by 140 basis points to 14.4%. This quarter, Dow Jones and Digital Real Estate contributed 88% of profitability. Third quarter adjusted revenues rose 2% compared to the prior year, with the difference from reported being primarily due to currency impact, while adjusted total segment EBITDA rose 15% versus the prior year. For the quarter, we reported earnings from continuing operations per share of $0.14 compared to $0.07 in the prior year. Adjusted earnings from continuing operations per share were $0.17 in the quarter compared to $0.13 in the prior year. Moving to the individual segments, starting with Dow Jones. As we expected, Dow Jones results year-over-year improved from the first half, with reported revenues of $575 million, up 6% versus the prior year period and was again the largest segment contributor to overall company revenue, and for this quarter, also to total segment EBITDA. Digital revenue accounted for 82% of total Dow Jones segment revenues this quarter, improving 1 percentage point from last year. Overall, professional information business revenues, which reflect our B2B products and services rose 6% year-over-year, overcoming a 200 basis point adverse impact from Factiva, primarily due to the ongoing customer dispute that we mentioned last quarter, a modest improvement from the second quarter impact. Risk and Compliance grew 11% to $84 million, with the growth driven by new customers, new products and improved yield. At Dow Jones Energy, revenue grew 10% to $69 million with customer retention remaining very strong at over 90%. In April, we reinvested in risk and compliance to further enhance its product offerings and data sets to include geopolitical, security intelligence and risk analysis via the acquisition of Dragonfly and Oxford Analytica. At energy, customer demand for our key benchmark pricing products remained robust, and we continue to expand our offerings with the launch of several new indices, assisting customers to hedge more effectively and manage risk in increasingly volatile markets. Within the Dow Jones consumer business, circulation revenues rose 7% versus the prior year, benefiting from an improvement in digital circulation revenue of 14%, notably higher than the 8% growth posted in the second quarter as we move customers from introductory and bundled promotions to higher pricing. Digital ARPU also increased quarter-over-quarter and year-over-year. Also of note, the digital circulation revenue growth included an approximate 300 basis points timing benefit. Digital circulation revenues accounted for 75% of circulation revenues for this quarter, up from 70% in the prior year. Digital-only subscriptions improved by 9% year-on-year and by 191,000 sequentially, benefiting from seasonality, particularly related to students and marked the highest addition since the third quarter of 2024. Advertising revenue of $86 million was flat, improving from the prior quarter and the first half rate, with both digital and print relatively flat. Digital represented 63% of advertising revenues, in line with the prior year. Dow Jones segment EBITDA for the quarter grew 12% to $132 million with margins increasing to 23%. Moving on to Digital Real Estate. Digital Real Estate had another solid quarter despite a tough prior year comparison and ForEx headwinds, with segment revenues of $406 million, up 5% versus the prior year and up 8% on an adjusted basis. Segment EBITDA was $124 million, up 19% and up 25% on an adjusted basis. REA revenues rose 6% year-on-year to $271 million, which included a $14 million adverse impact from ForEx fluctuations. REA revenue grew 11% on a constant currency basis. Growth was driven by a combination of residential yield increases and customer contract upgrades. Residential yield growth improved by 15%. Listings in the quarter were flat compared to the prior year, with listings in Sydney up 4%, and Melbourne down 3%. Listings benefited from Easter falling into the fourth quarter this year, but were negatively impacted by floods in Queensland. REA also benefited from higher revenues at REA India and growth at Financial Services due to higher settlements. Please refer to REA's earnings release and their conference call for more details. Realtors revenue for the quarter of $135 million was up 2% compared to the prior year, marking the second consecutive quarter of revenue growth despite continued difficult macro conditions. At Realtor, lower referral and lead generation revenues were more than offset by robust growth from adjacencies. Realtor continued to show strong growth from new revenue streams such as seller, new homes and rentals, which now represent 22% of revenues. Rentals, in particular, was notably strong, driven by the partnership with Zillow. Realtor.com has been shifting its audience acquisition and engagement strategies to focus on higher-quality consumers and leads, which resulted in a notable increase in revenue per lead in the quarter, partly offsetting softer lead volumes. This shift, combined with the persistent affordability issues and home sales volatility, resulted in lead volumes declining 17%, while average monthly unique users for the quarter fell 8% year-over-year to $66 million at realtor.com. Expenses at Realtor came in better than we had initially forecasted, driven by the shift of a new brand campaign to the fourth quarter. At Book Publishing, as expected, the phasing of frontlist titles weighed on performance this quarter. That said, segment revenues of $514 million, which rose 2%, represented the second highest third quarter on record, while segment EBITDA of $64 million rose 3%. The third quarter results included the recently acquired German book publisher. The strong performance from Christian Publishing and continued growth from the U.K. offset lower general book sales due to timing of frontlist releases compared with the third quarter last year. Adjusted revenues were flat. HarperCollins posted digital revenues of $122 million, up 3%, which was impacted by a combination of the current release slate and lapping the start of the Spotify partnership last year. In total, digital sales represented 25% of consumer revenues, flat compared to the prior year. The backlist contributed 65% of consumer revenues, up from 63% last year. Turning to News Media. Overall revenue performance was challenged due to tougher advertising conditions, partially offset by increased cover prices and subscription pricing across mastheads. Revenue for the quarter was $514 million, down 8% versus the prior year, while adjusted revenues fell 6%. Segment EBITDA was up 22% year-over-year to $33 million, driven by cost savings initiatives similar to the first half, most notably in the U.K. from the benefits of the commercial printing joint venture with DMG Media and lower Top costs, and further cost initiatives at News Australia. Adjusted segment EBITDA also rose 22%. Turning to the outlook. Some of the themes across each of our segments. At Dow Jones, the team remains focused on B2B growth, including upselling and new products across Risk and Compliance and Dow Jones Energy. We are pleased with the performance and continue to expect improvement in growth in the second half compared to the first half. Given the mix of subscribers and timing, we expect circulation revenue growth to be more similar to the second quarter, which was also very strong. At Digital Real Estate, Australian residential Dubai listings for April were down 11%, which was impacted by the timing of public holidays. Please refer to REA for a more detailed outlook commentary. Realtor.com will continue to focus on technology improvements and enhanced content and product offerings. We expect the rate of reinvestment to be modestly higher in the fourth quarter as we continue to focus on growth initiatives, and as mentioned, also plan to launch a new ad campaign in the quarter. At Book Publishing, overall, we will face particularly difficult comparisons in the fourth quarter compared to the prior year. At News Media, we expect the segment to continue to benefit from ongoing cost initiatives while advertising is likely to be volatile given the macro uncertainty. Also of note, we will lap the beginning of the cost savings from the commercial joint venture with DMG Media and the changes at [ Talk TV. ] As mentioned last quarter, we expect other segment costs to be higher than last year, including ongoing AI and related legal costs. With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question will come from Kane Hannan with Goldman Sachs.
Kane Hannan: Just I suppose on the Dow Jones business, obviously the standout in the quarter. Is there any more color you can share around how we think about the rate of investment going into the fourth quarter. It did pick up a little bit this quarter. And just where that investment was, is that on sort of Dow Jones consumer or across the PIB business? And I suppose how we think about that going forward as well would be helpful.
Robert Thomson: There was no particular startling increase in investment in Dow Jones. We did make the acquisition and there were related acquisition costs that of Dragonfly and Oxford Analytica which will add to the Professional Information Business, but we are duly focused on both the consumer business where we are seeing that increase in ARPU that Lavanya spoke about on the last call, and we'll continue to do what's necessary and reasonable to drive that revenue. And secondly, with PIB, all I can say is that we're consistently reporting double-digit revenue increases in the key segments and there's no reason to presume that those double-digit increases will not continue, particularly at Risk and Compliance and Energy, where we have been adding new services modestly and creating new products, but charging a premium for premium content. As mentioned, the overall PIB numbers have been complicated by a fractious Factiva relationship, which had a 200 basis point impact on total revenue, but we are now beginning to lap that issue. Overall, we are extremely confident about the continuing growth of both revenue and profits at the Professional Information Business.
Operator: Our next question will come from the line of Entcho Raykovski with Evans & Partners.
Entcho Raykovski: My question is also on Dow Jones. Just a follow-up on the 200 basis point impact on PIB from the Factiva dispute. Do you mind just to clarify, do you expect a similar impact in the fourth quarter? And then longer term, I'm just interested in any comments you could provides on where Dow Jones margins can get to? You mentioned last quarter that you'd expect margins to expand given PIB will be a greater contributor to earnings. I mean, you obviously saw that 1.3% expansion in the quarter. So is there a longer-term target you can share or even just some quantitative direction that would be quite useful.
Lavanya Chandrashekar: Thank you, Entcho.  I'll maybe start and then Robert can add on. On the Factiva dispute, look, as we cycle through it, as we start to lap it, I mean, the impact of the -- will start to reduce. So in the fourth quarter, I would expect a smaller impact than what we've seen in the third quarter, which was sequentially smaller than in the second quarter as well. On margins, here's how I think about margins on Dow Jones. First and foremost, the growth of the Professional Information Service business, that really does help lead to margins, the kind of strong growth that we've had on that business of 6% this quarter with risk and compliance up 11%, and Dow Jones Energy up 10%. That definitely helps both with operating leverage as well as with sweetening the mix. The growth on the consumer business as well helps with operating leverage. And then the team, as always, continues to be focused on being very disciplined on costs as well.
Robert Thomson: Yes, Entcho, just to reiterate what Lavanya said, as you note, the margin expanded from 21.7% to 23%. And there's every reason to believe that as that professional information business expands, so will the overall margin as that is a higher-margin segment. PIB revenues now account for 39% of revenues and a majority of profit, and that PIB share of the business is expanding quarter after quarter.
Operator: Our next question will come from David Joyce with Seaport Research.
David Joyce: Given your very strong balance sheet position now, I was wondering how you're prioritizing the strategy going forward for capital allocation across internal investments, external investments, capital returns. And to the extent there are M&A opportunities, do you envision anything that would provide incremental connectivity among your business lines or would be really still focusing on some of the core growth drivers like professional business services?
Robert Thomson: David, when it comes to acquisitions, obviously, we can't be specific, but we can be -- give general guidance and that is we have identified 3 core pillars, and we will look for opportunities in those 3 areas. What we will certainly not do is squander our hard-earned cash by overpaying for businesses. And I think you can see our record in that regard in recent years, dare I say, has been impeccable. Look, it's also true that we've received approximately AUD 592 million in cash for the repayment of the Foxtel shareholder loans. Now we've obviously been conscious of our responsibility to shareholders and that imperative will simply never wane. There has been -- we've all been subject to a certain amount of market turbulence. But our share price, as of the close today, was just over 32% higher than a year ago. And look, we take that not as a conclusion, but as an increment. And it is fair to say we've been careful in marshaling our cash, maximizing our investments and ensuring that returns through our dividend and $1 billion buyback reflect those resources. Last fiscal, we returned 70% of our available free cash flow to investors. And as was noted, we've been recently upgraded to investment grade by both Moody's and S&P. So clearly, our optionality has really been greater.
Operator: Next question will come from the line of Craig Huber with Huber Research.
Craig Huber: Robert, I guess, first, congratulations on getting the Foxtel deal done. Should investors -- as you guys think out over the next 6 to 12 months, expect you guys to rationalize, simplify the company any further? I mean, anything more potentially on the real estate side, where we have to maybe wait until maybe realtor.com sort of turns the corner here in terms of revenue growth and the margin profit enhancement or -- and also Factiva too. I mean, I go back a long way with Dow Jones. I mean, covering on the sell-side back -- Dow Jones a stand-alone company 20, 22 years ago. And then back then, Factiva was in tough shape and still kind of struggling, just listening to the numbers and stuff. Just wondering if that might be open to be off the books. Just further thoughts on simplifying the company.
Robert Thomson: Sure.  Craig, look, the Foxtel deal itself is a living, breathing example of our continuing willingness to make significant decisions about structure and focus in the interest of our shareholders. There's often much discussion about Digital Real Estate, and we obviously examine all segments. But I think Craig, as you sagely -- savvily noted on the last earnings call, the current state of the U.S. property market means that there's a significant underappreciation of realtors value. And whatever we may happen to do in whatever sector, we are focused on realizing maximum value for our shareholders. If you look at what we've done over the past few years, we are certainly not strategic somnambulists. We have a fairly clear vision of trends and challenges and opportunities, and we are now in a prime position to take further advantage for both the short and long-term advantage of our shareholders. The assets we've retained and developed are world class as are our teams, and they are in sectors primed for growth. Look, we remain focused on increasing our asset value and reducing the implied discount to intrinsic value. And needless to say, which means I am indulging in tautology, we have never been complacent, but we do have some reason to be confident.
Operator: Our next question will come from the line of Alan Gould with Loop Capital.
Alan Gould: Robert, I'd like to talk about the original portion of the Dow Jones business. PIB is doing great, but the original one you're continuing to grow subs, I know part of the strategy is converting people from promotional pricing to higher paying pricing? How is that endeavor going?
Robert Thomson: Yes, Alan, you're exactly right in pricing our strategy at Dow Jones and total subs were 7% higher, driven by digital subs, which rose 14%. And we are very focused on average revenue per subscriber and seeing positive trends as the Dow Jones dynamic pricing strategy is unfolding. I mean, that trend itself was reflected in the overall 7% increase in circulation revenues, which were up from 3% increase in the previous quarter. Now the Dow Jones team is rather confident that the phasing of subscribers from discounted entry-level offers to more standard pricing is proceeding well, and that strategy will be reflected in the digital numbers in coming quarters. And by the way, in total at Dow Jones, our digital contributed to 82% of revenue. So we are talking about a company that's certainly contemporary in character and a powerful digital platform on which to build.
Operator: [Operator Instructions] Our next question will come from Evan Karatzas with UBS. [Operator Instructions]
Evan Karatzas: Just maybe a follow-up on that with the higher price plan, moving customers to higher price plan. Just can you talk to, I guess, the churn impact from those customers moving to the nonpromotion plans? And I guess also any learnings from that in terms of the elasticity of those consumer subs? And I guess maybe more medium term, if potentially price increases could be more of a theme going forward, that might help with continued ARPU growth for that consumer subs business, please?
Robert Thomson: Evan, we're learning every day about price elasticity, which is the -- really the kernel of the dynamic pricing system that's being deployed by the team at Dow Jones. Obviously, advanced AI is making that process somewhat easier. You're able to identify certain cohorts where you do have more elasticity and you are able to identify certain cohorts where there may be some vulnerability. And so over time, there's no doubt the aim is to reduce churn and maximize revenue, and we have both the expertise and the tools at our disposal.
Operator: At this time, we have no further questions. I'll hand the call back over to Michael Florin for closing remarks.
Michael Florin: Well, thank you, Luke, and thank you for all the investors for participating. We look forward to talking to you shortly and have a wonderful day. Bye for now.